Operator: Greetings, and welcome to the TechPrecision Corporation Second Quarter Fiscal 2024 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Brett Maas, Managing Director of Hayden IR. Thank you, sir. You may begin.
Brett Maas: Thank you. On the call today is Alex Shen Chief Executive Officer; and Bobby Lilly, Chief Financial Officer. Before we begin, I'd like to remind our listeners that management's remarks may contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the safe harbor for forward-looking statements as contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today, and therefore, we refer you to a more detailed discussion of risks and uncertainties in the company's financial filings with the SEC. In addition, projections as to the company's future performance represents management's estimates as of today, November 20, 2023, TechPrecision assumes no obligation to revise or update these forward-looking statements. With the call -- with that out of the way, I'd like to turn the call over to Alex Shen, Chief Executive Officer. Please go ahead.
Alex Shen: Thank you, Brett. Good afternoon to everyone. Thank you for joining us. Customer confidence remains high as our consolidated backlog was $44.6 million at September 30, 2023. For the second quarter, consolidated net sales were $8 million or 6% lower when compared to net sales of $8.5 million for the same period a year ago. For the first six months of fiscal 2024, consolidated net sales were $15.3 million or 2% lower when compared to net sales of $15.6 million for the same period a year ago. Second quarter net sales for Stadco, compared favorably with the same period a year ago. Gross profit at our Stadco subsidiary improved reporting a loss of $9,000 versus a loss of $587,000 in the first quarter of fiscal 2024. A less favorable project mix at Ranor, dampened consolidated operating income for the second quarter. Ranor operating income was $673,000 for the quarter. Stadco operating loss was $323,000. We expect to deliver our strong backlog over the course of the next one to three fiscal years with revenue growth and gross margin expansion. We will continue to focus on tactical execution and risk mitigation, driving both subsidiaries to fully comprehend to successfully manage and successfully meet customer expectations, enabling continuous recapture and continuous retention of customer confidence. Customer confidence is key. We can all clearly see the positive results of this focus evidenced by the continued high customer confidence, which enabled us to maintain a strong backlog. We do remain highly focused on cash management, a critical piece of risk mitigation, and we continue to manage and control expenses, capital expenditures, customer advances, progress billings and final invoicing at shipment. I will now turn the call over to our CFO, Bobby Lilley, to continue with the review of our quarter results. Bobby?
Bobby Lilley: Thank you, Alex. Net sales for the second quarter of fiscal year 2024 were $8 million or 6% lower when compared to the same quarter a year ago, with $4.5 million for Ranor and $3.5 million for Stadco. Cost of sales were $6.9 million or 2% higher than the prior year period, due primarily to a less favorable project mix at Ranor, offset in part by better throughput at Stadco. Due to the higher costs, gross profit was $1 million or 41% lower, compared to the same quarter a year ago. SG&A expense decreased by $200,000 and or 11%, primarily due to cost reductions at Stadco. Operating loss was $597,000 and compared to an operating loss of $87,000 in the same quarter a year ago. Interest expense for the second quarter increased by $46,000 due to more borrowing under our revolver loan higher interest rates and higher loan cost amortization. We ended the quarter with $1.9 million outstanding under the revolver loan. Net loss for the second quarter was $528,000 compared to net income of $390,000 the prior year -- the prior year period included a one year -- sorry, the prior year period included a onetime gain of $624,000 from an employer tax credit refund. Net sales for the first six months of fiscal year 2024 were $15.3 million or 2% lower when compared to the same period a year ago, with $9 million for Ranor and $6.3 million for Stadco. Cost of sales were $13.6 million or 4% higher than the prior year period due primarily to less favorable project mix at Ranor. Due to the higher cost gross profit was $1.7 million or 32% lower compared to last year. SG&A expense decreased by $300,000 or 9% primarily due to cost reductions at Stadco. Operating loss was $1.2 million or $532,000 higher than the same quarter a year ago. Interest expense increased by $65,000 due to more borrowing under the revolver loan and higher interest rates. Loan cost amortization increased by $11,000. Net loss for the first six months of fiscal 2024 was $1.1 million compared to a net loss of $110,000 the prior year period included a one-time gain of $624,000 from an employer tax credit refund. Moving on to our financial position. Cash provided by operating activities was $1.3 million, cash used for capital expenditures was $2.6 million. Financing activities provided net cash of $0.9 million. Our total debt was $7.1 million on September 30, 2023, compared to $6.1 million at the end of March 31, 2023, as we borrowed an additional $1.3 million under the revolver loan. Cash balance at March 31, 2023, was -- cash balance at September 30, 2023, was $138,000 compared to $535,000 at March 31, 2023. Working capital was negative at September 30, 2023, as we reclassified all of our long-term debt to current because of certain debt covenant violations. We have requested a waiver from our lender. With that, I will now turn the call back to Alex.
Alex Shen: Bobby, thank you. For those on the call who may not be very familiar with our company, TechPrecision is a custom manufacturer of precision large-scale fabricated components, and precision large-scale machined metal components. The components that we manufacture are customer designed. We sell to customers in 2 main industry sectors, defense and precision industrial, predominantly defense. We do most of our work in industries that are highly sensitive to confidentiality which preclude us from speaking publicly about many things that a company not operating in these fields might discuss. As such, there are real limits as to what I can discuss and sometimes those limits change. Please understand that by saying, I am not allowed to discuss that is based on customer requirements and the environment in which we conduct business. Even though I have read the last statement at every conference call for the last several years, we continue to get questions, both written and oral or hear about individuals making statements that what I'm saying is not accurate that it is the Board silencing me or that I alone and making these decisions. As I have said repeatedly over and over again, we are not the ones making these rules, not me, not the board. The decision as to what we can say is based solely and completely on rules, rules from our clients. These are not my rules. And these are not the Board's rules. There are many things we would love to speak about, but we are restricted. It is the same for all of our direct competitors. Over the last several years, we have made great progress by performing good work and by following client instructions. That has led to about a threefold increase in stock price since the present Board took over. That is a winning formula. As a final point, I do not see these clients changing these restrictions anytime in the near or even distant future. So please do not expect anything to change. Where we can speak about it, we will, but we will not jeopardize our relationships with our clients, and we will not jeopardize the future orders we expect to receive from them. TechPrecision is proud and honored to serve the United States defense industry, specifically naval submarine manufacturing through our Ranor subsidiary. And also specifically, military aircraft manufacturing through our Stadco subsidiary. We aim to secure and maintain enduring partnerships with our customers. Overall, in both the Ranor and the Stadco subsidiaries, we continue to see meaningful opportunities in our defense sector, as evidenced by the strength of our backlog. We are encouraged by the prospects for growing our revenue and increasing profitability in future quarters. Operator, please open the line for questions.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] The first question is coming from Mark Gomes from Pipeline. Mark, your line is live.
Mark Gomes: Hey, gentlemen. Welcome to renewed revenue growth. Congratulations on that. Excluding the machinery issues that you had in Stadco over the past few months, which…
Alex Shen: Mark, you are coming in a little faint.
Mark Gomes: Sure. How about this?
Alex Shen: Much better. Thank you.
Mark Gomes: Great. Excluding the machinery issues that you had at Stadco, which, as I understand, are now behind you, have you been able to deliver against your customer order expectations on a timely basis?
Alex Shen: Yes. The quick answer and the real answer is yes. We are delivering against our customers' expectations, absolutely.
Mark Gomes: Okay, so…
Alex Shen: As a matter of fact, we just got recognitions from our customers -- from several different customers for delivering 100% on time.
Mark Gomes: Fantastic. So it would be safe to say then that anything that we see in the defense sector in terms of missed expectations and submarines or what have you are not being caused by you in any way, shape or form?
Alex Shen: Correct.
Mark Gomes: Okay. Any reason to believe that this won't continue?
Alex Shen: There's no reason to believe we cannot execute the same way in the future. The expectation should be that we will execute the same way in the future.
Mark Gomes: Okay. So then the confidence that you've been excluding with regard to customer confidence, it leads me to believe that the programs that you have been in over the past year or two, three years, there's no reason to believe that you will not continue to be a part of those programs, if not more, in the future, yes?
Alex Shen: Not so sure ever about what's in the future. You know how I love the forecast that was sarcasm. But the expectation is we're going to keep what we have because if we deliver according to customer expectations, that's how we resecure their confidence and by resecuring their confidence, we resecure the PO activity in the future. So I think that's a roundabout way of saying yes to your question.
Mark Gomes: I took it as such. Final question. We saw maybe a couple of million dollars of CapEx at Ranor a few months ago, any color commentary as to what that might have been for not specific to customers, but is that to replace old machinery, expand your capacity to do more work for customers or all of the above?
Alex Shen: We're -- we've wandered into an area where I'm being restricted on comments. So adding new maturing does not decrease capacity usually. So that's probably safe to say that we're adding capacity.
Mark Gomes: Great. That’s it from me. Thank you.
Alex Shen: Thank you. Thank you for your support.
Operator: Thank you. The next question is coming from Rob Straus from Winfield Capital. Rob, your line is live.
Rob Straus: Hi, Alex and Bobby, how are you today?
Alex Shen: Good, thank you.
Rob Straus: So I have a number of questions. And Bobby, first, it's going to go to you. And it's pretty specific. On the balance sheet, there's an account called other noncurrent liability. And that went up a bunch from the fiscal year-end. And I just thought you might be able to help us understand definitionally, what that account includes? And just to help you get there -- just to help you get there, so again, it's called other noncurrent liability. And as of September 30, it is at $4.43 million versus the March 31 number of $2.7 million. So we can move on, but I'm just curious, definitionally what's included in that line because it has moved a bit. Then either for Bobby or Alex. When we think about the CapEx that we're spending, is that CapEx self-funded. And the reason why I ask is that I think participants on this call who are reading about the industry in general, have seen whether they be government grants or primes bringing capital for infrastructure builds into companies and competitors. I just thought I would ask because we are spending some money on CapEx, what the source of that funding is? Is it entirely self-funded by TechPrecision?
Alex Shen: I can tell you it is not entirely funded by TechPrecision.
Rob Straus: Okay, good. Then that means that we're getting support from other entities. Switching over to Stadco. There's a few questions that I have and Alex, some of them are really basic and you'll, as always choose to answer what you want. When we acquired Stadco a little over 2 years ago, we thought of key personnel as those individuals holding the CEO, President position as well as the COO position. I was just curious, are the 2 individuals that were holding those positions when we acquired Stadco, are those 2 individuals still holding those seats and still at Stadco.
Alex Shen: I make it a policy of not talking about the individuals at the subsidiaries.
Rob Straus: Okay. I guess -- so staying with Stadco, Stadco's integration, I think we would say is behind where we thought it would be. and there's some more integration to do. What kind of color or explanation can you give us to better understand the challenges that you're facing with that subsidiary?
Alex Shen: Well, let me first characterize this thing properly. So Stadco is a turnaround, not so much an integration at all. It's a turnaround. Okay? So let's -- I prefer to use that terminology, please, if you don't mind.
Rob Straus: Sure.
Alex Shen: Okay. So being a turnaround, what we can see right now is we need more revenue strength from Stadco. That's the key point. With more revenue strength, we can get over our hump. How to get there? Well, it's a little bit complicated as far as the dams. The most important thing how we get there is back to customer confidence. We need to preserve the customer confidence by recapturing it every single day, moving forward every single week, every single month, every single quarter so that these customers of Stadco continue to give us purchase orders. that will reestablish our backlog that we ship out and grow the backlog. So I think we're doing that. What we just need to do more is push that same confidence into moving out more revenue within each quarter. We had some setbacks last -- the first quarter of this fiscal year with our equipment problems. That is behind us. There are some certain things that Well, the machines aren't breaking down, but that doesn't -- let's say that everything is all fixed. There's still ongoing daily maintenance problems, but that's not really the key problem anymore. The problems that have occurred in the first quarter of this fiscal year, those are fixed. So that just shows the type of things that in the turnaround, what unforecasted unexpected things can happen. Did we expect that a number of pieces of equipment, a number of assets would have problems during the same quarter. No. But in the nature of a turnaround, those are the things that happen.
Rob Straus: When you answered earlier in this call about delivering against customer expectations and stating that 100% of your deliveries are on time and that you are winning awards or positive feedback from customers, was that commentary relevant for both Ranor and Stadco, or were you referring to only Ranor as it related to those specific comments?
Alex Shen: Our delivery meets the expectations of the customers for both subsidiaries.
Rob Straus: Okay, great. One of the areas that you seem to make good progress in is reducing costs at Stadco.
Alex Shen: That's what we're reporting this quarter.
Rob Straus: That's right, which occurred during the quarter ending September. Could you just give us more color on where you saw opportunities and whether or not you see that as a completed process or an ongoing process?
Alex Shen: It's always an ongoing process. I would like to remind all of our listeners that even though we track quarter-to-quarter as required by the SEC, really, our business spans more than one quarter and our manufacturing cycles and the cadences span much more than one year. So is it ongoing? Absolutely. And let's bear in mind the business is lumpy. So going from quarter-to-quarter analysis is probably, in my opinion, shortsighted and doesn't project the whole entire picture.
Rob Straus: Yes. Understood. Going back to Bobby. Bobby, do you have a better explanation of the account definition or we could try to do that offline if you prefer?
Alex Shen: No, we'll do it online.
Bobby Lilley: It is contract liability, so deferred revenue is what's in that account -- in that area. So we've -- yes. So it has increased.
Rob Straus: Yes, okay. Now regarding backlog, we're reporting here $44.6 million. I'm looking at that against the prior quarter ending June at about $46 million. The year ago period, it was $49 million and Alex, I think you said something that's important that we understand this business is lumpy. I think that I'd appreciate any incremental thoughts on whether or not -- look, we've been in this mid-40s range for the better part of 12 to 18 months now. Maybe this is where TechPrecision is and the expectation shouldn't be something much larger. But I think with what we see going on in the industry, there's reason to believe at least that backlog for tech precision across the board can get quite a bit larger, do you have that same enthusiasm? Or what is your viewpoint on that because it's -- we're tracking this backlog number for the last 12 to 18 months, and it feels more stagnant than anything else?
Alex Shen: I would say that this is a big win because in the midst of a turnaround, we are able to preserve the level of backlog basically demonstrating the level of customer confidence and the level of meeting performance expectations by the two subsidiaries. So I would consider this a big win. Can it grow more? Probably more yes than no. I wouldn't characterize it as being stagnant. I would characterize it as winning every day we're in the 40s.
Rob Straus: Okay. last question, I guess. As it relates to Stadco, some year -- some time ago, and I think it slightly after we acquired the business, two customers specifically were mentioned on the call, and those are widely known, which is Sikorsky, which is tied to the CH-53K and Boeing tied to the F-15EX fighter jet. Those two relationships are every bit where today where they were back then. Is that correct?
Alex Shen: I will speak to the military heavy lift helicopter program. That relationship remains strong and we recapture the customer confidence on a daily basis.
Rob Straus: And no comment regarding the Boeing F-15Ex fighter jet.
Alex Shen: You do know that I do -- I shy away from specific customers. So I will shy away from that. But overall, I can give all our listeners the same information that across the board, for our key customers. We are not losing any confidence in any one of them. They are not losing any confidence in us either. So I think that should answer the question.
Rob Straus: Good. Last question, Bobby. One question regarding the press release, which discussed a debt covenant violation. Often, these are manageable with your lender, I just thought I'd ask your perspective. Number one, what is our remaining availability you could give it as of the end of the quarter or as of today, so we know what that looks like. And then is there any comment that you can make as it relates to your thoughts on curing violation?
Bobby Lilley: The availability as of the end of September is over $2 million. And as far as the covenant being a lumpy business. We're going to have quarters that are up and down, and we work with our lender to waive whatever we need to and move forward.
Rob Straus: Okay, thank you for answering my questions. I’ll allow someone else to get in. Thank you.
Alex Shen: Thank you.
Operator: The next question is coming from Kris Tuttle from Caterpillar Investments. Chris, your line is live.
Kris Tuttle: Great. Thanks for the update and for taking my question. We already have delved into quite a few things. I did want to just ask a little bit more about the backlog, you talked about satisfying it over the next year, 1.5 years. And my question is just working with your customers who may want to place additional orders with you, are you able to give them the kind of delivery times like within their expectations for the lead times they have for their products. In other words, you have capacity to still accept additional orders for them and satisfy them in the time frames that are acceptable to them?
Alex Shen: That's kind of a tricky question, isn't it, so the…
Kris Tuttle: I didn't mean it to be.
Alex Shen: Okay. Well, I'm just trying to make sure that we all understand each other and also our listeners all understand the same thing. We're interested in maintaining 100% or close to 100% on-time delivery with our customers. That is the expectation that we want to meet, so that we can continue to secure confidence and through the confidence new orders. So if a customer, I guess, tries to put in an order that will disrupt the defense industry, that would not be a good order. And I think our customers are very aligned with our available capacity and capabilities. So they'll probably try to work with us to avoid such a scenario.
Kris Tuttle: Okay. And -- but at the same time, if they want to use you a little bit more for some of their programs, there's some room for them to work with you to do that.
Alex Shen: I can always figure something out. But again, this is not a singular transaction. This is a relationship that spans decades. So really, if a customer would do such a thing as to try to force us into not meeting expectations any longer in the defense industry, that would be they would not be operating in a manner that they should be. It shouldn't happen that way.
Kris Tuttle: Got it. Got it. I appreciate that additional color about how the business works. So thank you very much for that. And congratulations again.
Alex Shen: Thank you.
Operator: Thank you. [Operator Instructions] The next question is coming from Greg Schlatter, Greg is a Private Investor. Your line is live Greg.
Greg Schlatter: I just have a real simple question. As you speak about delivering on your customer expectations on a daily basis, and over the past 10 years, you've not really delivered on any shareholder expectations in the sense that you're managing profit and then earnings per share. Do you think that will ever occur as you build out and talk about your great pipeline being built out. Are you pricing stuff at a profit? I know it takes one or 2 two years to deliver it, but what were you doing one or two years ago. Just a little curious on how long shareholders are going to go without seeing any type of positive EPS.
Alex Shen: Sir, I don't think I have an answer to your question. I don't know how long. I don't really understand how to answer the question. I do understand that we need to maintain our backlog. I do understand that we need to maintain our customer confidence. And I do understand that we are meeting customer expectations.
Operator: Thank you. And the next question is coming from Ross Taylor from ARS Investment Partners. Ross your line.
Ross Taylor: Thank you. Real quick. With regard to Ranor, you've come off what were some pretty strong revenue and margin -- operating margin numbers a couple of quarters ago. In each of the last two quarters, you've cited mix. Could you talk to us about whether that mix is the result of old contracts? Is it the result of first items being worked on? Or is it other issues? And when do we see the mix getting more favorable or getting us back to where we were, which is mid- to high 30s in operating margin.
Alex Shen: Well, the mix that we're referring to is the profitability mix that's different with each type of part number or type of part numbers in the category. It's a different set of part numbers that have less profitability that we are -- seem to have -- the timing is collapsing into the same reporting quarter, Ross. So when you have things with high profit all collapsing in the same quarter, profitability goes up. If a large number of them have relatively lower profitability, yet still profitable, collapse in the same quarter. profitability will decrease.
Ross Taylor: When we look at the operating profit margin for Ranor, back when you had your strong quarter, a couple of quarters ago, you were asked if you thought that was a sustainable number was kind of a one-off. And you did not indicate it was a one-off number. Should we expect a sustainable number over time because I understand the business is lumpy. Should we expect that number to be in that kind of mid- to high 30s over time as opposed to what we've seen in the last couple of quarters.
Alex Shen: Well, certainly, I aim for higher. I can't really control some of the timing of when these occur.
Ross Taylor: But generally, overall, I'm getting the timing issue. If we look at this thing and we say, okay, fine, the life of these programs because these are long-life programs, the two you're working for in Ranor are programs that run 10 to 20-years by build. When we were looking back at that, should we expect to stay -- if we add up the entire -- the revenue base out of Ranor, should we see an operating margin in that mid, upper-30s range that we were achieving before the last couple of quarters? Or do you expect that low-30s or lower is going to be the sustainable number? Your previous comments indicated you thought you could do mid upper 30s and sustain it.
Alex Shen: Unless we start hitting these pockets of resistance, which collapse in -- so if we do a quarter-by-quarter analysis, I think it's really difficult because.
Ross Taylor: Yes, I'm not -- I'm trying to get away from that. I'm trying to look at program line. Yes, I'm trying to look at program line.
Alex Shen: So the advent of COVID spiked a lot of different costs. And I think a lot of us, including Ranor and Stadco, but we're talking about Ranor. I think we're looking at that and experiencing different types of cost increases and impacts. Some of the impacts also don't just come from how something is quoted to be a profitable margin and what that percent margin is. Some of it is actually affected by timing of uncontrollable factors such as raw materials as well as timing of customer furnished material and supply chain delays in both those things. So when we have these types of hiccups operationally, what happens is some of the labor weight. So when we have underabsorbed relatively underabsorbed labor because of hiccups, not so much because profitability calculations or expectations are not being met. They're not being met, not because the job is not profitably quoted. They're being met because there are different things that kind of the inputs are lumpy to me. So that causes a ripple effect. I hope I'm explaining myself properly.
Ross Taylor: No, I understood. So basically, what you're saying is that you are operating in some -- at an inefficient level because you're not running enough business through. A couple of quarters ago, you were running more business through with higher-margin programs. So therefore, you operated at a less inefficient level. than you are now. But that -- what's happening here is if I'm summarizing you correctly is that we're in a period where you are kind of stuck with somewhat inefficient operational levels.
Alex Shen: So efficiency, I usually equate with things like mass production, but we do things one at a time. So I try to avoid using these mass production type terminologies and stick with what I know. What I do know is when there's hiccups in the inputs, there's hiccups on the outputs and those kind of translate the smooth and steady is just not the business model lumpy and lumpier seems to be the business model. And what I try to do is smack down the lumps and make it better. We succeeded very well before and we want to succeed very well all the time.
Ross Taylor: Is there any reason why you cannot begin to succeed very well, particularly given the ramp-up in the programs that we believe you're involved with?
Alex Shen: So I think the inputs, especially supply chain problems that cause input pickups are beyond my control is the problem.
Ross Taylor: Okay. Let's move on to a couple of things. With regard to Stadco, you're involved in -- that we're aware of, you're involved in two programs for two primes. One is Lockheed Martin Sikorsky with a heavy lift helicopter. One is Boeing with a Gen 4 plus advanced air defense strike fighter. Both of those programs are expected to ramp aggressively in the next year to 2 years. They're looking at going from low single-digit production to north of 20 units a year of production in both cases. Since you have talked about being basically a artisanal shop or you build things one at a time, one would expect that you would see a meaningful ramp, meaning parabolic, I think, in the F-15EX right? They call it a Viking launch of business coming from those two programs. Am I wrong in my interpretation of that?
Alex Shen: I think we all want you to be right.
Ross Taylor: No. It's a simple question. You know what you're involved with. The Board knows what you're involved with. I'm pretty confident what you're involved with and I'm just saying, so you want me to be right, but do you have any reason why I'm wrong. Just fundamentally forget the idea that the sun could come up in the West or you know, that means it's gonna emerge from the sea. Just generally business lines here. You are sitting on the cusp of what appears to be in that business, a major ramp major ramp. Really, the reason why you bought that business and why you spent the last two years turning it around.
Alex Shen: I totally agree with you.
Ross Taylor: Okay. Cool. Do you have any problem -- do you need any CapEx in Stadco to meet the expected build rates? Or do you have that capability today to do what you need to do, given that we're looking out maybe literally in the next 12 to 24 months of seeing these ramps take off?
Alex Shen: As we are looking at meeting customer demand, we are meeting customer demand. As we are looking to forecast or you know how I don't forecast. I only believe what I can see, so some of these things that come out of our customers don't materialize themselves into actually orders that have due dates that are perhaps reflecting of these huge ramps in the short term. So in that vein, we do not see a problem meeting customer demand period, whether it's now, whether it's six months from now and then further beyond that. Not seeing that. The answers the CapEx question.
Ross Taylor: Right. So you don't need to do CapEx. We're looking at something where what you -- we believe in Stadco you're building, I believe you're building are key structural components for each of those programs that you're involved with. It's hard to build either airframe without your product. So one would assume that as it ramps, unless they have scores of these things sitting someplace in the warehouse, you're going to see that business. That's more of a comment that you're free to agree or disagree? I'm going to push on to one thing. You talked about the idea you do -- you got -- you're doing turnarounds. And you did turn around at Ranor. And that really caught fire and two quarters ago really was in place. It's kind of for a variety of reasons, kind of, stumbled a little bit the last couple of quarters. But from what I'm hearing you say, that's going to self-correct. The caller who basically asked about profitability, I have to say I hate your answer, Alex, because in the end, we know that the business needs to be profitable. It needs to be self-funding. It needs to be doing all that. You know that. I know that. Your Board knows that, and that is what the goal is, and I'm confident that if you cannot achieve that, the Board will sell this company to someone who can achieve it with the business. So and I know that you are a good operator, so you will achieve that. But the question really then is and I think the question is being asked is there's the third turnaround, which is the company itself from a shareholder perspective. And while you have done well from the beginning, the stock is really kind of run out of gas, a little bit like your backlog it would strike me as this company needs -- you uplifted -- you can see the frustration, all that one has to do is look at the votes on the last election for the directors and the like. I've rarely seen that type of shareholder commentary when there was no organized effort to get a vote out against it as just a level of frustration that people have. Do you see or do you have the ability of this company, does the Board focus on not just kind of -- are we struggling to get this thing just right or are we looking forward enough to say, we know we need to get this profitable because going back to your Chairman's comment years ago, that he foresaw the end game here was a company being sold. And I'm not quite sure he anticipated it would be this many years before it was sold. But I do think you need to start focusing on profitability. I think you need to find a way to tell the story. I would recommend you listen to the gram calls because they don't say a lot, but they say it in a way that people love. And it really don't say a lot. So maybe over the holiday, you can listen to a few of those calls and figure out, is there a way we can tell this story that can reach a broader audience. We see we have a new institutional investor who's a large investor, it would be nice to have more of those people involved to help soak up the stock and carry this idea forward and quite honestly help the springboard the investment to higher levels. Understood…
Alex Shen: Understood.
Ross Taylor: Okay.
Alex Shen: Yes, understood.
Ross Taylor: Thank you. Thank you, sir. Take care.
Operator: Thank you. The next question is coming from Richard Greulich from REG Capital Advisors. Richard, your line is live.
Richard Greulich: Thank you. You want to go back to the CapEx question...
Alex Shen: Excuse me, I can't really hear. It's very muffled.
Richard Greulich: Is this better?
Alex Shen: Now, yes.
Richard Greulich: Okay. So I want to go back to the CapEx question. My understanding from the prior dialogue was that another entity or entities are underwriting some of the cap expenditures. But how does that show up if it does on the financial statements then.
Bobby Lilley: Say that again.
Richard Greulich: If what TechPrecision spends on its capital expenditures is augmented by other capital equipment being purchased by another entity or entities. So does that show up in their -- in the financial statement or no?
Bobby Lilley: Yes. The total CapEx is all inclusive of any funding.
Richard Greulich: Okay. And so what is the -- how does that get offset in terms of how I look at the financial statements then. So if, for example, I guess in six months...
Alex Shen: We are buying -- the CapEx is expanded by the company, so the company spends the money, right? So that shows up, right?
Richard Greulich: Right. So that shows up in the cash flow analysis of $2.6 million for the six months, let's say. So where is the inflow of funds from other outside entities?
Alex Shen: That would be on appeal.
Richard Greulich: I'm sorry, on what?
Alex Shen: A purchase order.
Richard Greulich: Okay. Let me think about that. I'm not sure I fully understand how that ends up. But other words is the purchase order amount in excess to include that capital spending.
Alex Shen: I'm sorry, could you please say that again, one more time, excuse us.
Richard Greulich: So if the purchase order is to purchase X amount of dollars for this piece? And is that then increase to include the capital spending that's included in that.
Bobby Lilley: The capital -- the offset of the CapEx is part of the contract liability I talked about that's in the other noncurrent liabilities and it gets offset against depreciation as it amortizes.
Richard Greulich: Okay. Now if supply chain interruptions have been causing a problem with the more steady flow and usage of labor, how can you take that into account when you enter into pricing with the purchase order.
Alex Shen: How do you take into account something that's like an interruption?
Richard Greulich: Correct. In other words, you said that -- and here, I'm talking...
Alex Shen: It's pretty difficult, Richard, to take into account directly and quote to a customer and say, in case of interruption, I'm going to charge you this much more.
Richard Greulich: Understand. And you're hearing a question from somebody who has never done any manufacturing administration or management. But if you think -- do you think that supply chain interruptions like that will continue on?
Alex Shen: We're delving into an area of -- so we were talking about supply chain interruptions with our customer furnished material, right?
Richard Greulich: Correct, correct. With your supplier furnished.
Alex Shen: With my customer furnished material. So which in this case the supply chain is the actual customer that gave me the IPO to begin with. So it's kind of puts me in a real bind. I'm jammed up between them and them.
Richard Greulich: Right, okay. I appreciate that clarification. Is there any way you can go back and read negate or we recompense yourself given it wasn't your fault.
Alex Shen: There are certain limits until I understand the magnitude and until the job is really done, I won't understand the magnitude because much of our manufacturing spans quarters and sometimes spans two or three years. So to answer your question correctly, do we go back to the customer for things that are not my fault and then do things that perhaps could be the customers fault. The quick answer is absolutely, yes.
Richard Greulich: But it sounds like you don't do it on a contemporaneous basis.
Alex Shen: We do it every day. We do it in a way that the -- so I can get a yes from them. Otherwise, if I can't give them an answer on, well, how much is it going to be? I don't know until I spend it all. Yes, it's difficult to give them a forecast and then change it later and say, "Oh, I need a little bit more." Well, what is it, right? It’s you know, there's humans on the other side that also have bosses that need to sign off on, okay, show us evidence of the extra expenditure. Is it all done yet? Because if it is not done yet, than wait or something. What can I get today though. These negotiations happen every day.
Richard Greulich: So from a -- an outsider looking at that process, it would seem -- I would conclude then that what I'm seeing is the worst possible case of that is you're getting -- you will get no recompense for that. That's how it's flowed through the financial statements as of now. Would that be correct?
Alex Shen: No. It's a mix of all kinds of stuff. Because it's not just one contract we're talking about, right? It's an aggregate of the quarter. The quarter wasn't spent on making one part.
Richard Greulich: Okay. I want to shift just real quickly to one other thing. Well, you've always stated that defense is obviously the major part of the company's business. You still have precision machinery as part of another -- I'm sorry, industrial. Are there opportunities there for revenue growth over the next year to 1.5 years?
Alex Shen: Are there -- so that's a little bit of a trick question, but the answer is yes. There's growth. But we're predominantly in defense.
Richard Greulich: Are you pursuing opportunities in the precision industrial at this point or no?
Alex Shen: Opportunistically, Yes. But we are pursuing more opportunities in defense because it's so much more and so much more reliable with decades, decades of reliable PO capture opportunities, purchase order capture opportunities. Whereas precision industrial is -- if you pursue it, how long they're going to last. And if it's not on a submarine or a heavy lift shopper, what if the need goes away, and there seems to be a program of record that's authorized by Congress under the seal of the United States of America. How many of those precision industrial opportunities can turn into a problem for us.
Richard Greulich: Okay, I appreciate your work and I appreciate you taking the questions.
Alex Shen: Thank you.
Operator: Thank you. And the next question is coming from Mark Gomes from Pipeline. Mark, your line is live.
Mark Gomes: Thank you. First, I just want to echo Ross's commentary regarding the GHM, the Graham earnings calls and how they handle that. It would be a good, I think, a model just FYI. I know it varies from program to program. But in general, if you look at the aggregate, do the parts you make tend to be needed closer to the front end or the back end of the final assembly process of the various programs? If you looked at an average across the aggregate.
Alex Shen: Average doesn't really work.
Mark Gomes: You have a sense of the spirit of my question, right?
Alex Shen: Well, I sense it, but we make the components. We don't build the boats. We make the components, we don't build the helicopters.
Mark Gomes: Right. But if we look at helicopters as an example, right, if I ask that question specific to helicopters, the question would be some companies would be getting orders for helicopter number seven at a specific time and you would be getting your orders for that same helicopter at a different specific time depending on when those parts are needed for final assembly. And I'm just wondering if, on average, your parts that you make tend to be at the front or back end of that process.
Alex Shen: So I think I'm trying to answer the question, Mark, in a way that makes sense because we're far away from the build cycle of the helicopter or the build cycle of the submarine. Our orders are for components. So I think what happened is they order the components, I don't really know as far as front end or back end or how to really connect it to the customers' actual schedules because it varies.
Mark Gomes: Got you. Yes. Okay. Now of course, I think it's safe to say that you try to price out your work so that you could get to those 30%-plus gross margins we've talked about on Stadco and Ranor. I assume that's still the plan?
Alex Shen: I price in order to maintain margins. I'm going to do my best.
Mark Gomes: Okay. So the follow-up to that is, would you say that the processes that you are continuously putting in place to improve the operation combined with the current environment as opposed to the one that we went through during COVID, and I'm sure the echos are still there. But is the current environment and your ongoing process improvement initiatives, are we at a place where all of that is more conducive to fewer hiccups going forward?
Alex Shen: I think we all underestimate the COVID impacts that are still being felt across all industries. I don't think that we've reached steady state as far as expectations that resemble something precoded that's more stable.
Mark Gomes: But we're moving in that direction, right? Is it safe to say that the further we get away from COVID, the closer we get to reaching that normal state?
Alex Shen: I think it really depends on the individual companies and their operators. The overall, it's -- the impacts are certainly felt. We are doing -- we are taking certain measures in each subsidiary, some similar, some different to location and region to further mitigate these impacts. I would like to think that we're better than average.
Mark Gomes: Thank you.
Operator: That does conclude our question-and-answer session. I will now turn the call over to TechPrecision management team for closing remarks.
Alex Shen: Thank you, everyone. Please have a nice day.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.